Unidentified Analyst: Okay. As you are taking your seat, just two quick housekeeping items. First, if there are some items from the room drop that you'd like to leave behind for the hotel staff, if you could just leave a pleasant note next to -- leave a note next time in your room that way that will identified and the staff can take them away. And then, second, just in terms of the -- this presentation, after the prepared remarks, we are going to stay in this room for Q&A. So that the webcast will end at the end of the prepared remarks and then we will stay in this room for Q&A. Now, before we get started our final -- with our final presenter of the week, The Coca-Cola Company. I would like you to join me in thanking them for their generous support supplying beverages and for bringing the Share a Coke experience to the conference this week. It is an exciting and incredibly busy time at Coke as the company pushes forward on its 2020 Vision. I want to thank Coke’s Chairman and CEO, Muhtar Kent for coming in and spending time with us today along with his management team. Muhtar, I am going to turn it over to you.
Muhtar Kent: Good morning. Thank you, Brian, for that very kind introduction and once again good morning, ladies and gentlemen. It's great to be back here at CAGNY in sunny, Boca Raton given the inclements in weather conditions up in the Northeast. I expect most of you will stay here for the weekend, so I'm the one I guess between you and the beach. So we will try to keep the program going. I'm pleased -- very pleased to be joined this morning by several members of my senior management team, of course starting with Gary Fayard, our Chief Financial Officer. As most of you know, Gary is elected to retire in this coming May after 20 outstanding years of leadership at The Coca-Cola Company, 14 of which were as CFO, Gary Fayard. Kathy Waller who is also joining us this morning will assume the title and succeed Gary as Chief Financial Officer from her current role in our company as Vice President of Finance and Controller. Kathy is a great leader and 20 -- brings 25 years of company experiencing and Kathy, where are you? Right there, Kathy. And then joining us also Sandy Douglas, President of Coca-Cola North America; Irial Finan, President of our Bottling Investments Group; Ahmet Bozer, President of Coca-Cola International; and Jackson Kelly, our Chief Investment -- Investor Relations Officer, so that’s my team here. I have invited Irial, Ahmet and Sandy to join us today since time was limited in last Tuesday’s earnings call and some of you may have questions that we will -- we were not able to cover. So we will have all the Q&A after my prepared remarks. Let me, here is clicker, let me just start by asking to join me for a little speed reading, okay. I'm sure you've read all of that. This year as you know marks the 50th anniversary of CAGNY and even though some of you weren't even born yet. I can assure you that 1964 was a very good. The Beatles toured America in that year for the first time, went on to top the charts with the six singles, including, She Loves You, Can't Buy Me Love. Government gas costs at $0.25, a date night at the movies, including two tickets to James Bond’s Goldfinger, two popcorns and two cokes cost a whopping $1.60 and yet, coke were $0.10 a piece. Indeed it was a good year made even better by the creation of CAGNY. The organization has done so much for the consumer goods industry over the last 50 years and is today more relevant and more important than ever before. So in that spirit, I’d like to open my presentation this morning. Today with the Coke toast to CAGNY in 50 years to all of you who are here today. So if you will please grab one of those Coke bottles on your tables, open them please, you’ve got openers and so here is to CAGNY, here is to Coca-Cola and here's to the next 50 years. You may not know this but Boca Raton was also the birthplace of our 2020 Vision. This is where we gathered with all our global leaders, our global partners, bottling partners back in the end of 2008, back then it’s the onset of that great recession we saw, passed dark clouds. We saw a future of unlimited opportunities. Today we are no less enthusiastic about the future ahead of us and the beverage industry that we compete in and the great beverage industry that we compete in. Not even a challenging 2013 has dampen any of our enthusiasm. In a very difficult year where our emerging markets did slow their rate of economic growth, we were able to deliver profit within our long-term growth targets. But as I said earlier in the week, we did hit a few bumps and I am not satisfied with our performance in 2013. This morning I am going to spend some time talking about what happened, what worked and what needs to work better for us going forward. More importantly, you are going to see the real strategic choices, actions we are taking to restore on momentum and I'm also going to explain why we are as passionate in our belief about our future today as we were when we launched our 2020 Vision back at the beginning of the decade. So we have every reason to believe that our dynamic and our growing global beverage industry is a great one. Our position within the industry is great. Our sound strategies we believe will work and our highly discipline market execution is critical. And they are exactly the right ingredients for sustainable growth and also for success for years to come. No question, our industry is large, it continues to generate and grow value ahead of other major consumer packaged goods sectors with growth in all geographies and growth also in all categories. This remarkable and resilient industry has grown retail value by $135 billion since 2010 and it is expected to grow by more than $300 billion by 2020. The actual macro trends and assumptions we identified when we launched our 2020 Vision continued today to hold true. In fact they were just as relevant and just as true as when we first charted that vision. We’re talking about 800 million new consumers entering into the middle class by the end of this decade. We’re talking about personal expenditure per capita growing by 70% by 2020. We’re talking about half the world’s population being under 30, yes that’s 3.5 billion consumers who were still at the heart of our core demographic who are in the pipeline to be future fans of our brand. And of course, people continued to move to cities at an unprecedented rate urbanization. And all of this bodes extremely well for industry that actually thrives on urban density, mobility, and usefulness. It gives us therefore confidence that the global nonalcoholic beverage industry will continue to over the long term grow volume by 3% to 4% and value by 5% to 6% through 2020. So today we have, as I said, many reasons to believe that the Coca-Cola system -- the Coca-Cola system is uniquely positioned and very well poised to capture sustainable growth across the entire nonalcoholic beverage industry. For starters, we have the strongest, strongest portfolio of refreshing brands in the nonalcoholic beverage industry. At the heart of our portfolio of course, is the world's most recognized brand Coca-Cola which has a billion-dollar brands in 19 countries. It’s more than a $1 billion of revenues generated in 19 countries. Brand Coca-Cola is complemented by 16 other billion-dollar brands and a pipeline -- and a pipeline of 20 more sparkling and still brands that generate annual sales today between $0.5 billion and $1 billion. On top of those that you see here, those brands are also poised soon to become billion-dollar brand. Another reason why we’re well positioned to capture future growth is because our Coca-Cola system is both healthy and is committed to investment, investment today and investment tomorrow. In fact, there's no greater litmus test barometer for system alignment and also health -- of our system than the level of our global system investment. $50 billion, yes, $50 billion of system investment since 2010 going into our business across 207 countries in the world. As part of this investment, we’ve added 3 million more coolers to our base, 4 million more customer outlook that we serve directly through our base -- to our base, bringing that total customer of universe number that we serve to 24 million outputs. Served by a thousand plus bottling plants in our 200 countries and by a distribution system that has more vehicles than UPS and FedEx put together. And of course, this is -- and of course, ours is a remarkable cash business. Everything single quarter generating real value that is returned to shareholders. We generated $10.5 billion of cash from operations that is approximately $29 million of cash each and every single day. Even in a challenging year like 2013, we returned $8.5 billion in value to our shareowners. And we just announced yesterday as you probably heard a 9% dividend increase, our 52nd consecutive year of annual dividend increase. Even so, we are not satisfied with our overall 2013 performance. In fact, we are more constructively discontent than ever before. As you can see here on the slide, prior to last year, we had met or exceeded performance expectations since launching our 2020 Vision back in 2010. And clearly in 2013, our volume and revenue results did not fall in within our expectations. As I said, on our earnings call earlier this week, we’re not content with those results volume and revenue. We know, moving forward that accelerating growth is going to require aggressive new investments across marketing, across more investments across innovation, product development, equipment, infrastructure, distribution and more sales feet on the street and all the while we’ll need to remain laser focused on flawless execution. So with this in mind, in recent months, we conducted a complete and thorough review of our global business. Out of that, our global management team has aligned on five strategic priorities to restore our momentum and to ensure we remain on a plan to achieve our 2020 Vision. Those are not necessarily new but I would -- but what is new is our results to really pick and focus relentlessly on them and I think that's what I would like to emphasize. What are those five strategic priorities? First, accelerate growth of sparkling led by brand Coca-Cola. Strategically second -- strategically to expand our profitable still portfolio. Third, to increase brand investments by maximizing our productivity. Fourth, making 2014 and beyond the year of execution, winning at the point of sale by unlocking the power of the system of our system, great system. And fifth, last but not least, invest in our next generation of leaders. Let me start first with the first priority of accelerating sparkling growth led by Coca-Cola. Sparkling beverages represent the largest profit pool in our industry plus the number one value growth category, largest profit pool and number one value growth category. Think about this we’re going to see more than $100 billion in retail value growth of sparkling beverages by 2020, incremental $100 billion in value. That's about a third of the entire growth of the industry in terms of incremental value till 2020. So it is an amazing growth category. Even better news is that brand Coca-Cola is growing and it is healthy globally. Since 2010, we have added 1.1 billion unit cases bringing volume to 11 billion unit cases in 2013. This is the equivalent of adding another Brazil, from a brand Coca-Cola perspective. That's right, a Brazil in just four short years. So, we've seen time and time again that marketing truly-truly works. In 2014, we are going to improve our marketing game in terms of both quantity, but also importantly in terms of quality. In fact, we are going to be investing an additional $400 million in media to support our brands in 2014 along. So equally important -- equally important, we are creating a highly nimble and also network marketing organization that's going to have greater global creative synergies and also better innovation transfer and also best practice capabilities. And we have incredibly strong assets to support our enhance marketing, including the Olympics of course, which are just coming to a close soon in Sochi at the Winter Olympic Games, but also the FIFA World Cup and the Share a Coke Campaign, that are being activated in markets all around the world today. This step up in our global marketing will also add up to a $1 billion in incremental marketing by 2060, that’s the kind of support our brands require and also our brands actually deserve. Last week, I was in Sochi and I saw firsthand, our activation of the Olympic Games -- Winter Olympic Games, which was the best that I've ever seen. Over the past couple of weeks there, we've actually hosted numerous, numerous customers and partners in Sochi and entertained tens of thousands who visited our Active Healthy Living Showcase at the Olympic Park. That Active Healthy Living Showcase will be a legacy of the Sochi Winter Olympic Games and will tour the whole of Russia over the next four years, encouraging Russian people to move more, to get up and move more and enjoy the rich benefits of active healthy lifestyles. And we've actually committed and are working hand-in-hand with the Russian government to double the number of people in Russia that are moving and that have active healthy lifestyle. I’ve brought a very short video film to share with you, so you can experience first-hand our Olympic activation that is taking place currently at the Winter Olympic Games. [Video] Another global marketing platform that we're very excited about is Share a Coke program that began in Australia back in 2011, has now spread more to than 20 countries around the world. It’s again a great example of how we engage consumers through innovative customize and also personalized packaging. Consumers can choose brand Coca-Cola cans or bottles with their names on it. And the shareable package is unique in our marketplace. I think creates a new ritual for consumers, aligns perfectly with our brand of happiness then in the marketplace where we want our marketing efforts to be share-worthy. It’s -- literally, this achieves it. So the buzz that it’s created with Millennial through social, digital media also has been quite impressive and we are going to continue to roll this out to additional markets in the years that we are in and beyond. So, I encourage all of you that if you haven't already got your personalized cans, do go and get them before you head out to the beach today. Of course, we are also very excited about our upcoming FIFA World Cup soccer activation in the year we are in today 2014. Our activation is going to be felt all around the world, not just of course in Brazil. In fact, this will be our largest, largest global activation of any sporting event in our entire history, celebrating the excitement of the world's most popular sport to millions of hundreds of millions of consumers all around the world, billions of consumers and many, many customer groups. Back in September, we launched the FIFA World Cup Trophy Tour, which is giving million of fans an opportunity to get close to that coveted World Cup Trophy. When complete the 92,000 miles, tour is going to reach 89 countries, including over 50 countries that have never experienced, that will experience this for the first time of having the trophy visit their country. In Brazil, alone more than a million people are expected to actually come and visually see, personally see the trophy. Complementing those are marketing efforts, of course is our aggressive and also systematic approach to drive innovation further. Innovation not only focused on new beverages, new ingredients, but also on new breakthroughs and equipment, packaging, routes to market sustainability and so on. Freestyle continues to be a game changer for us. Each of the dispensers that are in the market today and there's 16,000 of them in the marketplace by the end of 2013. Each dispenser serves over 100 beverages. Can serve up to 200 different beverages that helps our customers increased volume and also increase shopper visits. PlantBottle is now in almost 30 countries, 28 to be exact and more than 20 billion bottles of these packages have been filled, distributed and sold so far. This package further helps to differentiate our brands and it supports their premium positions. We’re also working on to introduce more smaller entry-level -- price point entry-level packaging in many, many markets around the world. A move that will continue to recruit a new generation of fans that helps us drive transactions which is a key metric transactions, a key metric of balanced volume and revenue growth. And then Coca-Cola Life, our low-calorie, all naturally sweetened, Coca-Cola was introduced in the year past in Chile and Argentina in the South Latin cone. We’re excited about the further potential of Coca-Cola Life as it has shown great promise in recruiting new and lapsed consumers into the sparkling category, as well as generating incremental volume, profitable incremental volume for our system. This year we are planning also to -- in the year we are in 2014, we’re planning to expand Coca-Cola Life the other markets. It’s another example of how we are trying to be part of the solution giving consumers a new blend of sugar and natural non-nutritive sweeteners. Let me just share with you a commercial that we used in launching Coca-Cola Life in Argentina. We can please roll the video. [Video] And two weeks ago we announced our exciting partnership with Keurig Green Mountain Coffee Roasters. The agreement demonstrates our approach and I would say our creative approach to partnerships. And in the way, this is so emblematic of what we are, who we are, how we operate our philosophy, because Coca-Cola when you think about it is the power of partnerships across 207 nations in the world. So we believe that this represents a game changing again innovation in the non-alcoholic beverage industry, opening new consumption occasions, opening new channels, especially in the all-important point of consumption at home. And underlying all that we do is our commitment to sustainability, is our deep commitment to sustainability. We’re focusing our efforts on three critical areas that touch our business, directly and which are uniquely aware, we are uniquely qualified to lead. The first is water, managing this precious natural resource with diligence leadership, we've committed to the water neutral by 2020. We’re on the path to achieving that and we will be the first large global commercial enterprise to say that we've achieved that. Second, women, specifically the largest commitment to the empowerment of women worldwide, we have committed the empower 5 million women by 2020 and this is clearly the most comprehensive and largest commitment undertaken ever in the world by a commercial enterprise, empowering 5 million women. And third is well-being, ensuring that our consumers, associates, communities remain healthy and remain vibrant as reference by me a few minutes ago related to the active healthy well-being platform that we are creating in Russia and we’re doing that across all markets where we operate. And on that well-being front, we made strong progress on our global commitments to further contribute to healthier, happier and more active communities a as a reminder, we’ve committed to the following, first offering low and no calorie beverage options in every market for everyone of our large brands, two, providing transparent nutritional information on the front of our all of our packages, third, supporting physical activity programs in every country where we do business, as I just mentioned and fourth, marketing responsibly, which means no advertising to children under 12. Our strategy is to be part of the solution by reaching out to that golden triangle, partners creating partnerships with business, government and civil society. We’ve launched active healthy life living programs in 118 nations all around the world and right here in the U.S. for instance, we’ve partnered with cities like San Antonio, cities like Chicago, Atlanta to develop impactful programs, take those best practices into the rest of the nation. We’ve also partnered with organizations like the American Beverage Association of course healthy weight commitment foundation and others to reduce calories effectively, raise awareness on the importance of healthy lifestyles. So building brand love through investing in innovation, marketing and continuing to earn everyday our social license to operate in communities that we proudly serve. We see a tremendous -- world of tremendous opportunity across the sparkling beverage category. And of course this all begin with our lifeblood, the lifeblood of our business brand Coca-Cola. Second priority in 2014 is expanding our global leadership in still beverages in selective still beverages. Today, we are effectively the global value leader in still beverages, and have more leading still brands that any one of our competitors worldwide, including $11 billion brands and many more in the pipeline as I indicated. So when we focus, we know we can move the needle. We made the decision four years ago to enhance our leadership in the juice and juice drinks category. We are now the undisputed number one player in juice and our, growth-to-glass strategy of optimizing our sourcing and also our operations and our marketing is paying substantial dividends. Since establishing that strategy back three and a half year ago, we've captured nearly one-third of juice and juice drinks category volume growth around the world. We accomplish this through a thoughtful and very coordinated combination of first growing our base with great success stories like Minute Maid, Cappy and Mazaa in India. Cappy across many countries in the world and Minute Maid, we did it through strategic acquisitions and partnerships including Del Valle in Latin America, Innocent in Europe and Rani in the Middle East and Eurasia, all of which are growing rapidly and innovation also like Simply and Minute Maid Pulpy. And there is so much more opportunity ahead of us. We’re also investing in the future and plan to leverage and plan to grow our existing billion dollars still brands, so that we can continue to build scale. And at the same time, we're going to strategically target opportunities to strengthen our position and also build our breadth across new categories like value-added dairy and build that within our portfolio with products like Dasani Drops and others that you see here. Our third priority is to increase our media investments by maximizing productivity. It is a focused-approach that's building on the progress, on the solid progress we've made over the last couple of years. And as you know, this week, on our earnings call, we announced the expansion of our productivity commitments to drive $1 billion in incremental productivity by 2016. We plan to reinvest these funds into our brands that will drive growth. The $1 billion commitment is incremental to the $550 million to $650 million in productivity that we had previously committed to delivering between 2012 and 2015. And we know from the experience that focusing on productivity and investing in our brands during difficult macroeconomic times will ensure that we emerge stronger, and we are better positioned to win long-term. We've done it before and we're going to do it again. Indeed, we're going to make our marketing muscle work even harder for us, because there’s a huge opportunity that we see to further scale global best practices in marketing, drive out redundancies in marketing and build cohesive campaigns that can travel quickly and travel globally. So working our marketing muscle harder is going to require redeploying spending from consumer promotions to media where it makes sense. It also means changing the way, changing the way that we work by shifting to a networked marketing model where resources are optimized and best practices are shared quickly more rapidly across geographies. All of these is going to require us to accelerate investments in new media and continuing to build on our existing strength in social media. Our fourth priority is winning at the point of sale. 24 million outlets served every week across 207 nations, winning at each one of those. System-wide, we have invested more than $50 billion since 2010, adding new plans, new distribution capabilities, new coolers, additional marketing, enhancing our immediate consumption capabilities, optimizing our in-store activations and advancing our customers’ business strategies and putting more feet on the street to serve these accounts. We're calling 2014 the year of execution and we know that when we do that well, we win. Our fifth priority is investing in our next generation of leaders. We're fortunate today to have a deep-deep bench of experienced operators, functional leaders across our company and our global system. We're also building for the future with enhanced efforts to attract, to develop, to retain top talent, including women leaders. In fact, today 31% of our Global Senior Leaders are women, that's a marked-marked improvement from a few years back only, but we also know that's a milestone on our journey as we strive to engage the best talent and build the finest leadership pipeline in our industry. So by focusing on these five strategic priorities and our ongoing pursuit of driving sustainable shareholder value, we firmly believe that we can restore momentum and achieved our 20/20 vision. Let me now turn to our geographies to show you how these five priorities that I summarized here today will drive execution across our global market starting with North America, our flagship market. We continue to believe in the long-term, totally in the long-term potential growth opportunities in North America. We believe in those growth opportunities in terms of revenue growth, volume growth, transactions growth and profit growth in our North American business. It's the largest beverage profit pool in the world. Equally important, it's amongst the largest in terms of growing teen's market in the world. People never think of the United States as a large growing teen market, but it is one of the largest in the world. And it's truly important not to make the bold moves and the bold investments necessarily to return it to sustainable growth. And this is why we've made changes to strengthen our business here. Sandy Douglas's strong customer and strong strategic brand experience, along with Paul Mulligan and Irial Finan’s disciplined focused on execution will enable us to refine these strategies and to enhance their impact. And as the North America operating model evolves, it will not only streamline our focus, but it will also expedite refranchising to independent bottling franchised partners. So our picture of success in North America is balance growth, repeat balance growth, which means growing volume and gaining share while increasing price mix. Growing volume gaining market share while increasing price mix. And to that end, our sparkling beverages delivered 28 million incremental immediate consumption transactions last year. And we are intensely focused on driving value in sparkling brands, in our sparkling brands, a category in which that we improved price mix by 2% last year, sparkling category 2% price mix. Our strong brands and proven occasion, brand, price, pack, channel architecture enabled us to win volume and value share last year across sparkling, across juice and juice drinks, across sports drinks, across energy and ready-to-drink tea categories. We are also making progress in our efforts to implement a modern franchise model. A model that is going to leverage our bottling partners local focus and give us the scale to work effectively with large national customers in the United States, optimize coast-to-coast our supply chain and respond faster to changing market conditions. To date, we closed on the first transaction of this model. At the end of 2013, we are very encouraged with the seamless transition of that first territory. Looking ahead, we are well aligned on the transition with the other four partners, bottling partners that we announced that would be getting bigger. We expect to reach agreements with those partners shortly and for those transactions to begin closing later in the year. I am also very pleased to announce that we have signed letter of intent to grant the territory of the greater Chicago area to the Reyes Holdings, L.L.C. and a portion of central Florida including Tampa and St. Petersburg to Troy Taylor, Chairman and Chief Executive Officer of the newly incorporated Florida bottler. We delighted to be partnering with both of these strong companies, leaders in the beverage distribution business that will bring local market insight and knowledge to our North American system. So our plan is to have the majority of our North American Territory franchise before we reach 2020. Now let’s turn to our attention to a group of developing and emerging markets that we are remain especially bullish on. We continue to aggressively invest in these markets which will have a pronounced positive impact on our company and system for years to come. Of course I am referring here to the BRICs and Africa. So let’s start with Brazil. Despite a slowing economy, we remain very optimistic about the future of Brazil. A market where we will be investing nearly $8 billion over a five year period ending 2016 and these investments are already paying off, these system investment. Since 2010 we have achieved 3% compound annual volume growth for our sparkling beverages with 11% for our still beverages. This year’s FIFA World Cup which will be staged in Brazil is going to be incredible builder of momentum for our business as we approach the 2016 Olympic Games in the same country, Brazil. Russia continues to be a great rising star for us, 8% compound annual volume growth in sparkling and still beverages and 17% growth for brand Coca-Cola over the past four years. Our successful activation of the Sochi Games complements again a broader 3 billion system wide investment in Russia through 2016. And then India with 1.2 billion people and growing we like the business trends we are seeing there. We have four of the top five beverage brands in India and remain very bullish as we have earmarked $5 billion in new system investment again by the end of this decade. And we also remain very excited on China’s long-term outlook as we continue to invest there in new plans, new feet on the street, new distribution, new coolers, new brands and equipment. In fact last year we opened our 43rd bottling factory in China as part of an $8 billion system investment over six years that we have announced. And all of the macro trends that we have talked at the beginning of the presentation are also in play in Africa in a big way. And as one of the most recognized and respected brands and businesses on the African continent, we are ideally positioned to grow alongside this incredible continent. And we will more than double our business in this youngest continent by 2020.  So all of this reinforces our strong belief in our system, our 2020 Vision, the strength of our brands and this remarkable non-alcoholic ready-to-drink industry. Our 2020 Vision that we shared with you four years ago has not changed. It is this consistency in our business strategy that has fueled our system success these past few years and will continue to fuel our success in the future. We and our great-great global bottling partners remain evermore committed and aligned behind our vision and in closing what I would like to reiterate is the reasons to believe that our 2020 Vision is within our reach. The beverage industry is and is going to continue to be dynamic, is going to continue to be vibrant and is going to grow ahead of other CPG categories and industries. The Coca-Cola system is going to continue to have an incredible scale and we are emerging from this very volatile and challenging global economic period in a position of real strength and we are taking meaningful, decisive strategic actions to restore our momentum. So in closing, what I would like say is that we are fortunate to be in a great, wonderful business. And it is the most exciting time to be in this business. So thank you for your time this morning, thank you for listening to me and now we are ready for some questions and answers. Thank you. Caroline?